Operator: Hello, ladies and gentlemen. Thank you for standing by for Emeren Group Limited's First Quarter 2024 Earnings Conference Call. Please note that, we are recording today's conference call. I will now turn the call over to Suzanne Wilson, Director of Investor Relations at Emeren Group. Please go ahead, Ms. Wilson. 
Suzanne Wilson: Thank you, operator, and hello, everyone. Thank you for joining us today to discuss our first quarter 2024 results. We released our shareholder letter after the market closed today, and it is available on our website at ir.emeren.com. We also provided a supplemental presentation that's posted on our IR website that we will reference during prepared remarks. On the call with me today are Mr. Yumin Liu, Chief Executive Officer; and Mr. Ke Chen, Chief Financial Officer. Before we continue, please turn to Slide 2. Let me remind you that remarks made during this call may include predictions, estimates or other information that might be considered forward-looking. These forward-looking statements represent Emeren Group's current judgment for the future. However, they are subject to risks and uncertainties that could cause actual results to differ materially. Those risks are described under Risk Factors and elsewhere in Emeren Group's filings with the SEC. Please do not place undue reliance on these forward-looking statements, which reflect Emeren Group opinions only as of the date of this call. Emeren Group is not obliged to update you on any revisions to these forward-looking statements. In addition, please note that all financial numbers discussed on this call are unaudited. Also please note that, unless otherwise stated, all figures mentioned during the conference call are in USD dollars. With that, let me now turn the call over to Yumin Liu. Yumin? 
Yumin Liu: Thank you, Suzanne. Thank you, everyone, for joining our call today. I'll begin by providing an overview of our operational performance in Q1 2024. And Ke will discuss our financial results for Q1 and our outlook. In Q1, we generated $14.8 million in revenue, marking a 15% increase year-over-year. Our gross profit soared to $4 million, more than doubling from the previous year, with the gross margin reaching 27.2%. The operating loss was approximately $0.7 million, significantly reduced from last year. This substantial growth in revenue was primarily driven by our expanding Development Service Agreement, or DSA business, which generated over $5 million in revenue. Our effort to improve operational efficiency across all regions is paying off. We decreased operating expenses by over 50% through strategic cost control measures. That progress was offset this quarter by a $0.7 million write-offs of cancelled U.S. early-stage projects, due to our shifted focus on advanced-stage projects and unrealized foreign exchange loss of over $3.2 million, which constituted the bulk of our net loss. We'll give you a quick overview of each of our business lines, starting with the quarterly primary catalyst then we'll circle back with more details later. Our DSA initiatives contribute to a stable and predictable business model, enabling revenue recognition at the early-stage of the project movement. This approach is proving instrumental in managing risks and maximizing cash flow efficiency across the project lifecycle. In Q1, DSA revenue accounted for 34% of our total, largely driven by battery's energy storage system or BESS projects in Italy. Looking ahead, we are working to broaden our DSA partnerships on a global scale. Concurrently, our BESS pipeline continues to grow steadily globally. We recently signed a DSA agreement for our BESS projects in Southern Italy with Nuveen Infrastructure, formerly known as Glennmont Partners, one of the world's largest fund managers specializing in clean energy, aiming for a total power capacity of 199 megawatts, or up to 1.59 gigawatts. In April, we secured an additional agreement with Nuveen for 155 megawatts, or up to 1.24 gigawatts of Battery Storage Projects, bringing the partnership total power capacity of 354 megawatts or up to 2.8 gigawatt hours. In Q1, our IPP assets were the primary drivers of growth and profitability, contributing to 38% of our revenue with a gross margin of 44%. IPP continues to be a pivotal component of our business model, providing a dependable source of stable and predictable cash flow. Our IPP revenue is balanced between Europe and China with a modest presence in the U.S. as of today. In Europe, we have 67 megawatt of IPP assets that generate sustainable revenue. For legacy reasons, we have IPP assets in China located in the 5 coastal provinces with favorable power prices, strong economies, and robust regulatory environments. We are now fortifying those assets by adding battery storage to the portfolio. As of the end of Q1, our battery storage portfolio comprised 90 megawatt hours, all integrated into the Virtual Power Plant platform. The VPP platform owned and operated by Huaneng Power International, one of the largest IPP operators in China. The VPP market in China is expanding rapidly. During the quarter, we continue to develop solar and storage projects. As of the end of Q1 2024, we had over 2.6 gigawatts of advanced-stage, high-quality solar projects. We maintain our expectation to monetize approximately 400 to 500 megawatts of projects in 2024 and beyond. At the end of Q1, our total energy storage project pipeline had increased to over 8 gigawatts, or over 32 gigawatt hours. In conclusion, we are optimistic about our revenue growth potential, which is fueled by our strategic initiatives and a robust project pipeline, and our ability to achieve gross margin of over 30%. We are also confident that we can continue to lower operating expenses. Now, let me turn the call over to our CFO, Ke Chen, to discuss our financial performance and guidance. Ke? 
Kevin Chen: Thank you, Yumin, and thanks everyone again for joining us on the call today. Our revenue of $14.8 million, represented an increase of 15% year-over-year from Q1 2023, and a decrease of 36% from Q4 2023. The sequential decline was due to normal seasonality, while the year-over-year increase in revenue was primarily driven by our growing DSA business, which accounted for 34% of our revenue. Gross profit was $4 million, compared to $3.3 million in Q4 2023 and $1.6 million in Q1 2023. Gross margin was 27.2%, compared to 7.6% in Q4 2023, and 12.4% in Q1 2023. The gross margin improved sequentially, primarily driven by high margin business contributed from DSA business. Operating expenses were $4.7 million, an improvement from $9.5 million in Q4 2023, and comparable to $4.6 million in Q1 2023. Our Q1 operating expenses were impacted by a $0.7 million write-off of cancelled early-stage projects in the U.S. Net loss attributed to Emeren Group Ltd. common shareholder was $4.4 million, compared to net loss of $8.1 million in Q4 2023, and net loss of $0.2 million in Q1 2023. Diluted net loss attributed to Emeren Group Ltd's common shareholder per ADS was $0.08, compared to diluted net loss of $0.15 in Q4 2023, and diluted net loss of $0.00 in Q1 2023. Cash used in operating activity was $3.3 million, cash used in investing activity was $2.6 million, and cash used in financing activity was $8.4 million. Elective operating cash flow was primarily due to delayed payment from Polish projects. Looking at our balance sheet, cash and cash equivalent at end of Q1 2024 were $55.1 million compared to $70.2 million in Q4 2023. Net asset value, or NAV is approximately 6.05 per ADS. Our debt-to-asset ratio at end of Q1 2024 was 9.99% compared to 9.44% at end of Q4 2023. Additionally, during Q1, we purchased approximately USD 6.3 million worth of ADS. Moving to our outlook. We anticipate that our Q2 revenue will fall within the range of $20 million to $23 million, with gross margin between 40% to 45%. For the full year 2024, we reconfirm -- reaffirm our expectation for revenue to range from $150 million to $160 million and for gross margin of approximately 30%. Additionally, we expect our net income for 2024 to be around $22 million, with consideration of foreign exchange impact, and expect earning per ADS to be approximately $0.43. We illustrate our expectation for our IPP revenue in 2024 to be between $24 million to $26 million, with a gross margin of approximately 50%. We expect gross margin contributed by DSA globally to be within the range of 15% to 20%. With that, let's open up the call for any questions. Operator, please go ahead. 
Operator: [Operator Instructions] Our first question comes from Philip Shen with ROTH MKM. 
Philip Shen: I wanted to talk about your guidance. So Q1 was a little bit light. Q2 is also your guide was a little bit light versus our expectations. And so there's a big ramp in Q3 and 4. I was wondering, you plan on monetizing 450 megawatts in '24. What do you think the monetization might be by quarter? Just to give us a rough cadence of the monetization. 
Kevin Chen: Sure, Phil. Again, like I said, we will confirm our full year revenue guidance and gross margin guidance. Yes, we do expect a ramp up in the second half. And again, some of the projects are under negotiation right now. So we do expect, again, ramp up both in Q3 and Q4. 
Philip Shen: Right. So what do you expect to happen to allow for that ramp up? And what have the delay -- the reasons for the delay has been? 
Kevin Chen: Again, for some of the approval delays, we still expect that, but we're expecting those to happen in the second half. And also, again, we are executing some of the negotiating some of the contract right now, and we expect those contracts to be executed in Q3 and Q4. 
Philip Shen: Right. I'm sorry, because Ke, I'm not asking about the timing. I'm asking about the reasons for the delay. So in the U.S., I know there's a lot of reasons, interconnection, transmission queues, long lead time, high voltage equipment, high elevated rates. What else? Labor constraints, EPC constraints. Those are all resulting in delays in the U.S. projects on the margin. What are you seeing in Europe? Are those the same issues in Europe? Or is it -- I'm imagining it's a different set of issues. So can you give us some color as to what is causing the delay? 
Kevin Chen: Sure. 
Philip Shen: Or is it just bilateral negotiation kind of timing of delays? 
Kevin Chen: Yes. Let me -- first of all, U.S., what you mentioned is correct. But what we -- our focus in the U.S. is actually community solar. And again, we are focused on like New York, for example. That delay actually helped us because some of the latter adders added for NYSERDA. So allow us to get a better price. So instead of we sell the project in Q4, we already negotiated the contract, we're getting better priced. So the delay will help us in the Q2 -- starting Q2 and mainly in Q3 and Q4. So the U.S., you hit a good point there. But for Europe, I think we experienced -- continue to experience the administration delay, for example, from Spain, but we are expect those happen in Q4. And so, and again, some of the projects we mentioned in Hungary, we're expecting some delays, but we are again expect those happen again in the second half. 
Philip Shen: Okay. So did you say their administration delays? So there -- it's based on the local government and the challenges that they might be having? 
Kevin Chen: Yes, the approval of some of the permits for Spain, be specific. And they allow for like more than like up to 12-months delays in some of their regions. So -- but we are pushing through all these approvals. 
Philip Shen: Okay. So but there -- okay. So there's a chance that these could extend as well, right? I mean, some of these challenges could sustain beyond '24? I mean, what's the potential that it could take longer than you think? 
Kevin Chen: Again, our team is working very hard to minimize this impact. So like I said, we'll renegotiate this contract, try to get this done in Q3 and Q4. 
Yumin Liu: Let me add some color on this one, Phil. For example, Spain, that we signed the contract, SPA, back to over 6 months ago. And we expect that to be done within Q1 timeframe, or even as early as last Q4. But it didn't happen, as the Spain government issued a new rule, which allows the local admin office to not, to have 14 months, up to 14 months time to get project approved based on the priority of the deal. So we now consider that's one of the deals we're supposed to close within the first half. But now it goes to second half, or most likely will be in Q4. Okay. So that is one example. And Hungary, the same thing, that the every single deal, we went through the foreign buyer, it will be under the local government policy. You cannot look into the local government regulation. It's not easy to sell to foreign buyers. So we have to switch local buyers. And now we are in the process of the negotiation. So all those delays will happen. But we are fully confident that those closings will happen in the second half. 
Philip Shen: Okay. One last question, and I'll pass it on. As it relates to the Polish payments, I guess that was an issue for Q1. What exactly was going on there? And then do you expect that challenge to sustain in Q2, or even through the back half of the year? 
Kevin Chen: We are working with the buyers to settle this. So we're expecting the payoffs in June. And again, we are not expecting further delay anymore. 
Philip Shen: What is the root cause of the issue? What happened? 
Kevin Chen: Again, there is a PAC delay, like the local Polish government, the same thing. They have to approve this power plant to be connected. So there's the so-called PAC certificate -- certification so. 
Yumin Liu: Basically that the power plant needs to be constructed, receiving so-called PAC, Performance Acceptance Certificate. And then after that one, we get paid. But there's another big thing is that the project is entering in the final stage of closing its financing. And it's supposed to be done within the next several weeks. So that's why Ke mentioned, we expect the payment starting in June. 
Philip Shen: Okay. Best of luck as you get through the year. I'll pass it on. 
Operator: Our next question comes from Pavel Molchanov with Raymond James. 
Pavel Molchanov: Zooming out first, are there any complications with module supply on either side of the Atlantic? And do you envision the supply situation worsening with the new tariffs announced in Washington? 
Yumin Liu: Yes and no. For the U.S., as the good part of our story is, we don't plan to do much of the EPC work in the U.S. as we flip the deal before or add the NTP. But we do have some considerations doing a small deal, which we are doing, which all the modules have been secured for a small deal in May. So on that part, that we are a lot less impacted. And but going into the future, that may limit many other utility-scale players on the module supply. But in any case, we see that happen within weeks, but not really impacting us much. But for Europe, we don't see that yet. At this time, still, it carries through the very competitive pricing without any additional tariff. So that is why we need to be double, triple our growth potential in Europe compared to what we are doing in the U.S. 
Pavel Molchanov: Okay. When I look at your project pipeline, the advanced-stage looks relatively balanced by country. The early-stage is more than 2/3 Spain. What explains the scale of these early-stage opportunities in the Spanish market? 
Yumin Liu: That's a very interesting question, that the Spanish market is one of the most focused markets for our company in Europe. And we believe Spanish markets still are continuous, presenting us good potential, okay? We have spent lots of time developing partnerships with local smaller developers. We also develop partnerships going forward with our joint venture partners like Eiffel, to see if we can put more resources into the early-stage all the way on the development, okay? I will see that the Spanish market continues to be strong. Especially, we learned that the Spanish government is considering adding battery storage into the marketplace. So with that new initiative, I am looking confident about the growth. 
Pavel Molchanov: Okay. Interesting. Last question. You've continued to repurchase shares. Obviously, the stock is still down quite a bit, year-to-date. How much more cash are you willing to allocate towards buyback? 
Kevin Chen: Pavel, we still have, I think, roughly 15 million left from the Board authorization. So that has been proved. So that's what we could use. 
Pavel Molchanov: 15, 1-5 million. 
Kevin Chen: Yes. 
Operator: Our next question comes from Donovan Schafer with Northland Capital Markets. 
Donovan Schafer: So, first, I want to ask for Spain for the storage project pipeline. So looking at the letter to shareholders from last quarter, there was about a gigawatt of -- a gigawatt hour of battery storage that was advanced-stage for Spain. And then in this -- the letter for this quarter, that was -- it looks like that was essentially eliminated. It went from about a gigawatt down to 36 megawatts. Is there -- and it looks like the early-stage really jumped, which Pavel was kind of commenting on. I mean, it also went up for solar as well. But so is that a reclassification from advanced-stage for Spain to classify it back to bring it back down to early-stage? Or what happened to that gigawatt of advanced-stage Spanish? 
Yumin Liu: Donovan, it's a very interesting question. And also, you hit the right spot. We are becoming more and more conservative in consideration of the global level interconnection bottleneck. Spain is also one of the countries or the markets facing the challenges of the interconnection issues. So the way we pass through in all markets are conservative review, so-called recategorize our advanced-stage or early-stage projects. And that resulted in moving this 1 gigawatt all the way from advanced-stage to early-stage to be more conservative. That is the reason that we are continuing developing those projects. But nothing wrong. But the only thing is that the way we foresee the interconnection approval delays, which is less optimistic than last quarter. That is why we move that from advanced-stage to early-stage. But one thing, Donovan, I have to point out, our advanced-stage pipeline in Europe is continuing growing. So we have more than last quarter in general. 
Donovan Schafer: Okay. Okay. And then, turning to the solar pipeline, so for Germany, as we talk -- here, I'm looking at the early-stage. So the advanced-stage for Germany, that stayed the same. So it doesn't look like there's any movement there. But the early-stage dropped from 690 megawatts to 360 megawatts. And you mentioned, there was a write-down on impairment for early-stage projects in the U.S. But is there -- would that kind of thing trigger, I guess, first, what caused the reduction in Germany? But then, secondly, why was that not also an impairment or a write-down of some kind? Or did that have an impact on the financials? 
Kevin Chen: Let me answer that, Donovan. Actually, we did 2 projects in Germany, which we fell through. So we didn't win the bid. So that pipeline got removed. There is some small, very small impairment in Germany also. But that's very small compared to what we mentioned here in the U.S. It's only, like, less than USD 50,000. 
Donovan Schafer: Okay. Got it. And then, just one more for me. You've got some IPP assets in China. You're doing some development work there. And -- I think you're still maybe Cayman Island-based. You're not technically a U.S. company. But the question is, is there any risk of sort of, like, retaliation or anything that could impact you guys? You know, someone already asked about modules applying to the U.S. But just in terms of, you know, inside China or even in European countries or other places where maybe you work with Chinese companies or source panels from China or anything, is there any risk of you guys being negatively impacted, if the Chinese government were to take some kind of a, retaliation against the United States? 
Yumin Liu: No, I don't think so. And we don't see that either. The current solar market, China represents over 60% of the downstream market in the world, while the supply chain side, not only modules, but also battery storage, China represents over 80% or even a lot more. Okay. So the definitely U.S. 201, 301 tariffs will set some limitations or restrictions for China's cell and potentially in the future, the battery storage components coming to the U.S. But as I answered Pavel's question, we grow not only very fast in Europe, but also we are strategizing, not hoping that the 201, 301 U.S. tariff will not impact our U.S. activities. But going back to China, definitely we don't see any negative impacts as the China CapEx continues going down, down and down. The battery storage goes to about $70 per kilowatt hour, apple-to-apple comparison, and also the module goes to below $0.09. So everything looks so good and the market is strong. And we feel confident that, it's not bringing any negative impact to the company. 
Kevin Chen: But Donovan, just to make a correction, we are a BVI company. And again, we don't see the impact because we are running IPP business in China. All the off-taker is individual enterprise in China and United 5 most economy high cost area. I don't think any impact because those businesses are still ongoing. 
Operator: Our next question comes from Amit Dayal with H.C. Wainwright. 
Amit Dayal: So with respect to the heavier contribution with respect to the outlook coming in the second half, is there any particular projects that make up majority of these expected revenues in the second half? Just trying to see, if there's any concentration risk with respect to any projects that you are looking to monetize in the second half? 
Kevin Chen: Yes. I think we mentioned this Hungary projects and that's the one we are actually under negotiation right now. But we're confident it will happen in the second half. 
Amit Dayal: Okay. And the higher gross margins in 2Q you're expecting, is it again just coming from the China business and the DSA revenues? 
Kevin Chen: Yes. So for 2Q, the higher margin, first of all, this is a higher say than in terms of IPP for sure. So that helped with the margin. Secondly, we continue doing our DSA business and the DSA like we mentioned in the first quarter bring, stay at a high margin. And also we have, again, expect some projects sell in Europe. Those are like NTP sales, so that maintain high margin. So overall, that bring the higher gross margin guidance. 
Amit Dayal: Okay. Understood. This last one, you do still have a pretty good balance sheet. I know in the last call, you gave guidance that you might end the year with 100 million in cash. Is that still in play? 
Kevin Chen: Of course, we are still confident about that at this point. 
Amit Dayal: Okay. And then with that kind of balance sheet, do you think you might want to pursue more IPP opportunities given sort of the margin strength you're seeing with that segment? 
Kevin Chen: Of course, like we mentioned in the last few calls, we are like IPP business model to continue to identify high return IPPs, especially out of Europe. So we are, again, continue looking at those opportunities. 
Operator: [Operator Instructions] And I'm not showing any further questions in queue. I'd like to turn the conference back to Mr. Liu for any closing remarks. 
Yumin Liu: Thank you, operator. Despite challenges such as a high interest rate and the U.S. election cycle, we are strengthening our position in fast-growing solar markets. Thanks to increasing demand for clean energy and supportive policies, our expertise and strong industry partnerships are pushing us toward becoming a leading global renewable energy company. We are excited about solar energy's future and grateful to our employees, customers, partners, and shareholders for their continuous support. Thank you again for joining our call today. You may now disconnect. 
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.